Operator: Good afternoon. Thank you for joining us for the BioTelemetry Third Quarter 2014 Earnings Conference Call. Certain statements during the conference call and question-and-answer period to follow, may relate to future events and expectations and as such constitute forward-looking statements within the meaning of the Private Securities and Litigation Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company in the future to be materially different from the statements that the company’s executives may make today. These risks are described in detail in our public filings with the Securities and Exchange Commission, including our latest periodic Forms 10-K or 10-Q. We assume no duty to update these statements. At this time all participants are in a listen-only mode. The floor will be open for question and comments following the presentation. It is now my pleasure to turn the floor over to your host, Mr. Joseph Capper. Sir you may begin.
Joseph Capper: Thank you, operator and good afternoon everyone. I’m Joe Capper, President and CEO of BioTelemetry. Also with me on the call today is our Chief Financial Officer, Heather Getz. I will provide commentary on our third quarter performance, Heather will take you through a more detailed review of our operating results, and we’ll then open the call to your questions. So let’s get started. Once again we are reporting on another excellent quarter. As you will hear today, we’ve made considerable progress towards our key objectives, while setting yet another quarterly revenue high for the company. We also delivered outstanding organic volume growth in patient services and have made considerable progress building the backlog in the research division. These positive achievements stem from the execution of a straightforward plan. As a reminder, the three key components of our strategy are to: solidify our leadership position in cardiac monitoring; establish a leading research services business around the Cardiocore brand and platform; and look to identify markets that would benefit from the application of our wireless platform and proprietary technology. These are the overarching principles that drive the decision making process at the company. Let’s take a few minutes to review the quarterly highlights. The third quarter was our ninth consecutive period of year-over-year growth. Revenue grew by 35% to $43 million, another record high for the company. EBITDA was $6 million, up 37% over the prior year. As for patient volume, the business again gained momentum. Looking first at organic growth in the base business, total volume increased by 20% year-over-year with MCOT’s volume up 13%. When we add in the effect of the Mednet and BMS acquisitions, total volume increased 110% with MCT rising 39%. This significant growth will continue to create efficiencies, which will be evident in the coming quarters. As previously announced, we reached a settlement with Cigna, which included the reinstatement of a positive coverage policy for MCOT. This was obviously a welcome outcome and we look forward to again providing Cigna beneficiaries access to this life-saving technology. Prior to Cigna suspending coverage of few years ago, we were doing more than $2 million a year with them in annual revenue, and our business is approximately 35% larger now than it was at that time. Also worth mentioning is that Blue Cross and Blue Shield of Kansas changed to a positive coverage policy for MCOT. With each additional member of the Blue’s association that comes onboard, we become more and more optimistic that the national organization and the remaining members including WellPoint will eventually do the same. In our patient services division, we saw our comprehensive approach continue to generate greater penetration, clearly outshining the market with an organic growth rate of 20%. As I mentioned on our last call, one of our top priorities is to complete the two integrations currently underway with a goal of maximizing customer retention and fusing the positive attributes of each operation. Both integrations are moving along according to plan for achieving all expectations. These two like kind acquisitions create the scale and synergy which should help to offset past reimbursement pressure. Additionally, market share expansion in advance of launching our next generation mobile Telemetry system will help drive rapid acceptance when we introduce the product. During the quarter, we completed and submitted our 510-K application for this next generation Telemetry patch. With the demand for remote monitoring solutions on the rise, our patient services business is in great shape. We have gained scale through acquisition and have dramatically improved our organic growth rate due to our comprehensive approach to the market. We are moving through the integrations as expeditiously as possible, extracting efficiencies from the business and creating additional revenue opportunities with exciting new products that will be coming to market in the near future. Turning to research services, during the quarter we continued to see improvements in the outlook for this important division as we made excellent progress in several areas. First, we made headway in our efforts to expand our operation in Brussels in order to support existing clients and make us more competitive for future studies. We will add resources to this entity as business dictates. Second, we fully integrated the imaging core lab we acquired in the second quarter. Consistent with our strategic intent for the research business, this acquisition broadens our cardiac imaging offering and adds new oncology, musculoskeletal and neurological imaging capabilities, supported by a state-of-the-art cloud based analysis platform. Lastly, we saw further improvement to our backlog, which has more than doubled since the beginning of the year, setting the stage for an outstanding 2015. In addition to the work that has resulted in these improvements to our core business, we continue to invest resources for further diversification, which I have spoken about on previous calls. We are making headway with our at home INR monitoring service, which allows us to leverage our current IDTF and sales and marketing infrastructure. We now have the sales responsibility integrated into our patient services offering and the business is progressing well through its early growth phase. We have mentioned our CHS collaboration with Wellbridge Health a few times in the past as well. This relationship continues to develop according to plan. Wellbridge is now well into two pilot programs which are showing excellent results. And as mentioned on last quarter’s call, we have been assessing how best to position the company as a player in the emerging consumer mHealth market, a segment that many believe will evolve into a sizable market and has garnered attention from the largest medical device and consumer device companies in the world. Our discussions with global companies on potential ways to partner and pursue opportunities in consumer mHealth will continue to move forward. Though it is impossible to know how the landscape for this market will ultimately take shape, we do know that our competencies in remote monitoring and our ability to make data relevant will be essential elements of any successful mHealth business. And with that, I will turn the call over to Heather for a detailed financial review of the quarter. Heather?
Heather Getz: Thank you, Joe, and good afternoon, everyone. Revenue in the third quarter was $43.1 million, a 35% increase over the third quarter of 2013, and for the second quarter in a row our highest quarterly revenue in the company’s history. If I exclude the impact of acquisitions, revenue increased by 9% organically. Patient services revenue increased by over $10 million, resulting from a volume increase of over 100% due to the acquisitions of Mednet and BMS, as well as strong organic patient volume growth of over 20%. Partially offsetting these volume increases was the impact of the previously disclosed Medicare rate reduction, which went into effect January 1. Our product segment was up $2 million due to the acquisitions, as well as increased Holter sales. Research services revenue was down versus the third quarter of 2013 due to a strong third quarter in the prior year, as well as several studies being completed sooner than expected. On the gross margin line, our adjusted gross margin was 56% compared to 61% in the prior year quarter. The decrease in adjusted gross margin percentage was due to the product mix of our acquisition, which served as a higher proportion of event and Holter patients, both of which carry lower margins. In addition, the leverage gain from the increased volume in our base business was essentially offset by lower ASPs, which were primarily driven by the reduction in Medicare reimbursement. As a reminder, on last quarter’s conference call we explained through our acquisitions as well as through our CardioNet comprehensive approach, we have made a conscious decision to create scale in our patient services business as the expense of some margin. By design, our strategy has caused a shift in our product mix. While MCOT, Event and Holter volumes are all growing, our base event business grew almost 50% year-over-year. Likewise our acquisitions carry a higher percentage of their business weighted in favor of Event and Holter, which have lower margins than MCOT. That being said, we believe this approach has lead to greater market penetration, increased growth and higher same-store sales, which in return will create greater SG&A leverage. Essentially any gross margin percentage that we’re giving up, we expect to more than make up in operating margin over time. To demonstrate this leverage, while our gross margin percentage was flat to Q2, our EBITDA increased in absolute dollars from $5.1 million to $6 million and our EBITDA margin increased from 12% to 14%. Moving back to our year-over-year comparison, as I just mentioned, we generated positive adjusted EBITDA of $6 million for the third quarter of 2014, compared to $4.4 million in Q3 2013, a 37% increase. We were able to achieve a 14% adjusted EBITDA over time despite the Medicare reduction that went into effect in January. In addition, we have not yet fully integrated our acquisitions. As we complete the integrations, we should achieve some additional synergies leading to an increased EBITDA return. Turning to the balance sheet, we ended the quarter with $12.2 million in cash, which was a decrease of $10 million compared to the end of 2013. This was due to the purchase of Mednet, as well as cash used for capital expenditures, primarily medical devices and an investment in our new operating system. In order to finance the BMS acquisition, we used $8 million from our line of credit, which brought our total debt to $18 million. Our ratio of total debt to our trailing 12-month adjusted EBITDA is less than one. Finally, before I turn the call back to Joe, I’d like to touch on the fourth quarter and full year 2014 as well as the outlook for 2015. As we laid out on our conference calls earlier this year, we have seen momentum in our overall business led by organic volume growth in the patient services segment, which has been bolstered by the acquisitions of Mednet and BMS. In addition, research services is doing quite well, which is reflected in its expanding backlog. We now expect research services to be essentially flat to the prior year. As a result, we are reiterating our overall full year 2014 guidance of top-line growth exceeding 25% and higher EBITDA year-over-year despite the impact in the 2014 from the Medicare rate reductions. This translates to top line revenue and EBITDA in Q4 that will be similar to Q3. From a cash perspective, we will continue to generate cash from operations. As a result of our high organic growth, we are investing in more devices to meet patient demands. We also expect to incur additional expense in the fourth quarter or early next year to complete the integrations of BMS and Mednet, which will be accounted for in restructuring and other. As a result I expect our cash-on-hand at the end of Q4 to be similar to Q3. Over the past two years, as we have stabilized and gained greater visibility into our business, we have provided more of an outlook. As such, we thought it made sense to give some high-level insight into 2015. As we have mentioned today, we have seen substantial volume growth in our base business and expect this momentum to continue into 2015 with the launch of the low-cost Holter and our next generation MCOT. We have also seen considerable improvement in the research services pipeline and backlog and expect growth in our product revenue with the expansion of our international sales effort. Furthermore, we expect the full integration of the acquisitions to increase leverage in the business. Given all of these factors, we are currently expecting low double-digit revenue growth for the full year 2015 and EBITDA of over $30 million. And with that, I’ll now turn the call back over to Joe.
Joseph Capper: Thanks Heather. As you have just heard, we had a highly successful third quarter, and our momentum is building. Our growth plan is working as anticipated. As such, we have high expectations for 2015 and all parts of our business are seeing more opportunities for growth than ever before. For example, with the increase in scale from our acquisitions and expanded payer coverage most recently demonstrated by the change in the policies of Cigna and Blue Cross and Blue Shield of Kansas, combined with expected near term reimbursement stability, our patient services business is well positioned for continued success. To ensure this happens, we must stay focused on completing the Mednet and BMS integrations in a manner which maximizes customer retention, realizes appropriate synergies and creates a stronger overall patient services business. In addition to integration related synergies, we have several other ongoing cost production projects that will soon be completed and will create incremental margin for the company in 2015. We must also continue to aggressively build on our comprehensive approach to the market by introducing new products first with the launch of CardioKey, followed by our next generation Telemetry systems. Furthermore, our research division has demonstrably improved outlook with its expanded service offering, European operation and rapidly growing backlog, and we are excited about the progress being made on our various initiatives to develop additional sources of revenue. We just heard Heather say we are looking at double-digit revenue growth for next year and an EBITDA that should grow by more than 50%. That will be no easy feat, however, given the pace with the market for remote patient monitoring solutions is evolving and the way our strategy is yielding positive results, we are optimistic about our prospects going forward. In closing, I would again like to thank all of those at the company who helped deliver our ninth consecutive growth quarter and another record high in quarterly revenue. Your efforts are appreciated, most importantly by the patients we serve. With that, we will now pause and open the call to questions. Operator, we are ready for our first question.
Operator: (Operator instructions) Our first question comes from Brooks O'Neil with Dougherty & Company. Your line is open.
Brooks O'Neil - Dougherty & Company : Good afternoon and thank you for the comprehensive overview. I found that interesting and helpful. I just have a few questions. I wanted to clarify Heather, make sure when you said EBITDA of over $30 million for 2015 you really mean EBITDA not adjusted EBITDA, right?
Heather Getz: It is adjusted EBITDA Brooks, and we don’t expect to have a substantial amount of restructuring or other type charges next year.
Brooks O'Neil - Dougherty & Company: But you're not adding back the stock-based compensation or any of that stuff?
Heather Getz: No, we are.
Brooks O'Neil - Dougherty & Company: You are. Okay, second question, I'm just curious if you could help us to sort of think about the impact of Cigna. I'm assuming it really didn't impact Q3, but we might see some impact in Q4 and beyond?
Heather Getz : Yes. So we will see some impact from Cigna in Q4 and we will have a slight tick up for some of the Cigna patients that we serviced in Q3 as well.
Joseph Capper: It won’t be reflected in Q3, it will be reflected in Q4.
Heather Getz: That is correct.
Brooks O'Neil - Dougherty & Company: Yes. Okay. That's helpful. I'm curious, obviously last quarter there was a little bit of a hullabaloo about the subpoena you referenced in your Q from the – I can't even say the name of the organization that sent you that subpoena, but could you give us an update on that situation?
Joseph Capper: Yes, Brooks we investigated the situation and we responded to the enquiry. We do not think it represents any material risk to the company. In hindsight, we probably over disclosed last quarter, but better to be safe. Some of you asked why we didn't discuss it on the quarterly call that was the reason. I mean we didn’t really see it as a material issue, and the more we looked into it the more we got comfortable with that position.
Brooks O'Neil - Dougherty & Company: That may – 
Joseph Capper: It is also important to note that – that was related to the Mednet business, which we had indemnifications by the seller on.
Brooks O'Neil - Dougherty & Company: Sure, great. Just one or two more, I'm curious, obviously you talked about double the size of the backlog in the research services, and it sure sounds like 2015 can be a very good year in that business. Can you give us any sort of sense for the magnitude of what that might be either in total or on a quarterly basis in 2015 for you guys?
Heather Getz: Brooks, we factored that into the directional guidance that we gave for 2015.
Brooks O'Neil - Dougherty & Company: Yes, okay. And then just lastly, I think Joe you talked in the past about the reimbursement outlook and sort of the preliminary indication from Medicare was for flat reimbursement. Are you hearing any noise that would lead you to believe that in the final rule there'll be anything different than that?
Joseph Capper: No, not at all. We are – we are pretty active in the industry through our Chief Operating Officer, Mike Geldart. He has been on touch – on top of this all year and all the intelligence coming back from the hill is that it should – it should be flat, it should be as indicated in the proposal.
Brooks O'Neil - Dougherty & Company: Great. Thanks a lot, and again congratulations.
Joseph Capper: Thanks Brooks.
Heather Getz: Thanks Brooks.
Operator: Our next question comes from Bruce Jackson with Lake Street Capital. Your line is open.
Bruce Jackson - Lake Street Capital Markets: Hi, good afternoon. If I could follow up on the INR testing business, can we get little more color on the up tick I think you had something like over a thousand patients in Q2, where are you right now in Q3?
Joseph Capper : Yes, a little higher than that Bruce. It is not a whole lot higher. I mean, we are still kind of working out the kinks of the business and then one of the vendors had a recall that sort of set us back a little bit, but we – it is not a big issue for us. It is a bigger issue for them, but we are – we feel comfortable that we have got the operational kinks worked out. It might be 1200 patients instead of 1000 along those lines. It wasn’t monumental growth.
Bruce Jackson - Lake Street Capital Markets: Okay, great. And that – 
Joseph Capper: It is too early to really start forecasting that business yet. Once we have got it fully rolled out, we will start putting more granularity behind it. 
Bruce Jackson - Lake Street Capital Markets: Okay, great. Then just to be clear on the EBITDA guidance, we are assuming it can be zero special charges for next year. Is that right?
Heather Getz: No, as I mentioned, we could see some additional charges mainly related to the finalization, the integration of the acquisitions next year. Some of that could go into next year but I don’t expect a significant amount, and the $30 million that I talked about hadn’t any of that added back. So it is the adjusted EBITDA number. 
Bruce Jackson - Lake Street Capital Markets: Okay.
Joseph Capper: So, you comp that number against – comp that number against the adjusted EBITDA number that we are using today. So we take the metric that we just announced, $6 million for the quarter, and you have a feel for where we think it is going to finish the year. That number would comp against that.
Bruce Jackson - Lake Street Capital Markets: Great. Okay then with the gross margins, you've got a number of initiatives underway with the new devices, you've got the acquisition integration coming off, things like that. How should we expect gross margins to behave over the next couple of quarters, so for fourth quarter, would you expect it to be similar to third quarter, and then would you expect it to -- what would you expect it to do going into 2015?
Heather Getz: So, in Q4 I would expect it to be similar, maybe slightly up as we get some efficiencies and cost of sales, but not substantially, and the same going into 2015. Obviously depending on the growth of the different businesses can affect the overall consolidated margin mix, but assuming that we have similar growth rates in all pieces of our business that is what I would expect.
Bruce Jackson - Lake Street Capital Markets: Okay. Then last question, a housekeeping question, do you have the MCOT percentage of dollar revenue for the quarter?
Heather Getz: Yes, it is about 55%.
Bruce Jackson - Lake Street Capital Markets: About 55. Okay, great. Thank you very much.
Heather Getz: Thanks Bruce.
Operator: Our next question comes from Jan Wald with Benchmark. Your line is open.
Jan Wald - The Benchmark Company : Thank you and congratulations on the quarter.
Heather Getz: Thanks Jan.
Jan Wald - The Benchmark Company: I guess I have a couple of questions to ask Brooks, I guess, just asked about the INR product, but in terms of the other products that you're going and pursuing in white spaces and things like that, can say anything more about what's happening with Wellbridge and perhaps the kind of thing you're looking at in terms of mHealth and where you feel you might be able to contribute in that space?
Joseph Capper: So, in terms of Wellbridge we had a nice meeting and update with their senior team a few weeks ago, and that collaboration is developing nicely. It is still early for them, pre-commercial in pilot development phase, but all indications are that is going to be very well accepted. So the next phase would be to discuss and negotiate any commercial position we have with them going forward. As a reminder, the initial relationship was an investment that we made in the company. So I’m sure you are familiar with a lot of the other activities taking place in the marketplace with regard to at home monitoring, in particular monitoring for at risk for congestive heart failure patients. So we are excited about the prospects, but it is kind of early to talk about it. Really kind of the same thing in mHealth. In that market and again I’m sure that you all can read the announcements and literature as much as I can. There is a lot of companies making investments and even some making fairly big bets that the consumer will become more active in health management and so there is a lot of activity around mobile health devices, mobile health management. We are not going to be making products to compete with these large consumer device companies. It is smarter for us we believe to collaborate and work with people and we bring our expertise to fill a void that they are missing today frankly. So, our expertise is really around collecting data that is clinically relevant and then delivering it back to a provider in a usable fashion. So those conversations will develop into collaborations or a collaboration more over time, but I don’t think that that is near term Jan, you are not going to see anything in the next – I don’t even want to put a timeframe on it. You are not going to see anything in the near future. 
Jan Wald - The Benchmark Company: Okay. That's fair. I guess secondly if I think about the way the patient services business is going right now, it looks as if there's more in Event that Holter monitor sales than there are MCOT sales, so there seems to be a trend down in MCOT sales, do you see that changing with the new products that are being offered? I know you're coming out with a new like event monitor, but you're also coming out with a new MCOT, do you see building back more of a percentage of sales in MCOT and getting higher margins out of that?
Joseph Capper: Yes, let me clarify. First of all our MCOT volume is growing and it is growing at a faster rate than almost anytime in the past. So I really want to clarify that utilizations for that pilot is growing, and I suspect – I suspect MCOT is growing at a rate significantly faster than the overall remote cardiac patient monitoring business. Our business is up overall at a rate of 20%, so that would obviously tell you that some of the other segments like Event and Wireless event and Holter might be growing faster. A lot of that has to do with the success we had with the launch of wireless event last year. So that pilot is growing much faster than the rest of the portfolio. But I just really want to stress that all of them are growing, there is a mix shift, the market dictates the mix, we don’t dictate the mix, and so while I would love everyone to buy my most expensive, most powerful products, in reality it is not a product for every case, and physicians make the appropriate decision based on the portfolio product that we have available and we service all lines of business. So I expect that all lines will grow. There maybe circumstances that will cause one line to grow faster than the other at different points in our history, and that is obviously – we are seeing that right now with the successful launch of wireless event. But all of them are growing very, very well. We are happy with the portfolio performance overall.
Jan Wald - The Benchmark Company: So, if I read that correctly, you might see an up tick in MCOT sales with the new device coming out. But overall, the trend is to – it is sort of the mix that we're seeing right now?
Joseph Capper: No, I would not say that that is a sustainable long-term trend. We don’t know. Again, here is the good news, all the lines are growing, but the overall market for remote patient monitoring in the cardiac services business is growing, and we are growing faster than the market. As far as we can tell we are growing faster than market in all of our categories. So I hate to – and try to anticipate what – which one is going to grow faster in the future. We promote all. 
Jan Wald - The Benchmark Company: Okay. Next, second question or third question, I guess, in terms of research services I understand it's a contract-based business, and it takes time to win the contracts, it takes time to get them going and moving, so you're developing a backlog, but how should we understand what that backlog means in terms of revenues over the next say year or two years, and secondly, one of the things that you said on calls in the past is that the ability to go after larger contracts has been or larger programs has been hampered a bit because you haven't had a presence in Europe. Are you beginning to see an ability – not just an ability, but more of a willingness on your customer side to look at larger contracts for you because you have this presence in Europe, or is it still too early for that?
Joseph Capper: No, it is not too early. I think that is one of the reasons why we are becoming more successful in winning some of the business that we are winning today. So it makes a more formidable competitor, a more complete service provider for the sponsor. So I think it is already having some impact. I don’t know Heather if you want to talk about revenue growth and mix, I don’t know if you will talk about it by division or just overall.
Heather Getz: Yes, I think similar to Brooks' question we have factored in the growth rate of research services into our 2015 outlook. We do expect it to have a higher percentage growth rate than our product and patient services business. But that was factored into our low single digit growth that we talked to earlier.
Jan Wald - The Benchmark Company: Okay. Thank you very much, and again congratulations on the quarter. 
Heather Getz: Thanks Jan.
Joseph Capper: Thanks.
Operator: (Operator instructions) Our next question comes from Dang Trang with Stonegate Securities. Your line is open.
Dang Trang - Stonegate Securities: Hi, most of my questions have already been asked and have been answered. But I have a question regarding the research services, and Heather you mentioned they would be flat year-over-year, right?
Heather Getz: Yes.
Dang Trang - Stonegate Securities: I’m wondering what is the biggest challenge facing research services right now, because I know they carry higher margin?
Joseph Capper: Yes, it is a good question Dang. We are just flat year-over-year is actually a pretty dramatic improvement. The team has done an unbelievable job with the business getting more aligned internally and with the market, and it is – we are continuing to gain momentum there. I would say our biggest challenge is keeping up with that success.
Dang Trang - Stonegate Securities: [Indiscernible]
Joseph Capper: And so that's a high class problem to have, right?
Joseph Capper: It is an HR intensive business like any other service business. So you have to hire project managers as you win more and more business, and do that through organization, but it is not – it is a highly classified matter as I indicated. So, we’re pretty excited about where that business is now, especially going into 2015, it has a very strong backlog.
Dang Trang - Stonegate Securities: Okay. And you mentioned you have two pilot programs with Wellbridge, am I correct?
Joseph Capper: Wellbridge is conducting two pilot programs with large health systems to validate the return on investment benefit of that service. So we’re – we are involved with the company, but we are not active in those pilots.
Dang Trang - Stonegate Securities: Okay, all right. Thank you.
Joseph Capper: Sure.
Heather Getz: Thanks Dang.
Operator: Our next question comes from Brooks O'Neil with Dougherty & Company. Your line is open.
Brooks O'Neil - Dougherty & Company : I just thought I'd ask a couple more since there was an opportunity here, obviously there was a lot of noise over the last few months about competitive activity, particularly from the, I guess you'd call them large medical device companies that have shown interest in this space, can you give us a sense for what you're seeing competitively in the marketplace today and whether they're having any impact on your business whatsoever?
Joseph Capper: Yes. We are not seeing any impact on our business I think that the implantable loop recorder is one of the products that we have talked about in the past. The new system that is smaller and it is in an injectable format is having success in the market. And frankly we think it is very complementary to our product and maybe contributing to some of the rise in the overall volume that we are seeing, who knows. But there is a lot more people out there talking about the benefits of remote patient monitoring and that is one that happens to be extremely complementary to our product. Other than that just normal competitive noise that we are hearing. We are not – nobody has a system that can compete head-to-head with our product. Nobody has the very specific claims for use from the FDA that we have and nobody has the clinical evidence to backup performance, nobody has the economic evidence to back up performance. So clearly the product portfolio that we come to market with is viewed as the gold standard and I believe that we are benefiting from that.
Brooks O'Neil - Dougherty & Company: That's great. Second question I'm just curious, obviously, you're benefiting this year from the scale and one that's related to the acquisitions you completed late last year, early this year, what would you say about the role of acquisitions in the – I guess you call it near or intermediate term outlook for the business?
Joseph Capper: Yes, I think again as I indicated in my closing comments the priority number one is really to digest what is in our plate today, and make sure that we effectively integrate both Mednet and BMS. Like any other M&A opportunity if they make sense as they present themselves, and if they help us more importantly accelerate our strategic plan, we will look at them if we have the capacity to do them, and if they make good sense to us both strategically and financially we will approach them. So, I wouldn’t say they are off the table, I would say they are on the table certainly, but priority number one is over the next couple of quarters at least is to digest the acquisitions that we have already completed.
Brooks O'Neil - Dougherty & Company: Perfect. Thank you very much.
Joseph Capper: Sure.
Operator: I’m showing no further questions. I will now turn the call back over to Mr. Joseph Capper for final remarks.
Joseph Capper: Thank you, operator and thank you all for your continued support and interest in the company. We will speak to you next quarter. That concludes today’s call.